Operator: Ladies and gentlemen, welcome to Radio One’s 2014 Year-End Call. I have been asked to begin this call with the following Safe Harbor statement. During this conference call, Radio One will be sharing with you certain projections or other forward-looking statements regarding future events or its future performance. Radio One cautions you that certain factors including risks and uncertainties referred to in the 10-Ks, 10-Qs and other reports periodically filed with the Securities and Exchange Commission could cause the company’s actual results to differ materially from those indicated by its projections or forward-looking statements. This call will present information as of February 12, 2015. Please note that Radio One disclaims any duty to update any forward-looking statements made in the presentation. In this call, Radio One may also discuss some non-GAAP financial measures in talking about its performance. These measures will be reconciled to GAAP either during the course of this call or in the company’s press release, which can be found at its website at www.radio-one.com. A replay of the conference will also be available from 12 PM Eastern Time February 12, 2015, until Mid-Night February 14, 2015. Callers may access the replay by calling 1-800-475-6701 in the U.S. International callers may dial direct 1-320-365-3844. The replay access code is 350295. Access to live audio and a replay of the conference call will also be available on Radio One’s corporate website at www.radio-one.com. The replay will be made available on the website for seven days after the call. No other recordings or copies of this call are authorized or may be relied on. Now I’ll turn the call over to Alfred C. Liggins, Chief Executive Officer of Radio One, who is joined by Peter D. Thompson, Chief Financial Officer. Mr. Liggins?
Alfred Liggins: Thank you very much operator and welcome everybody to our fourth quarter results conference call. You’ve seen press release and we are going to turn it over to Peter so he can go into the numbers in detail and then I’ll add some color to it and then we’ll go into Q&A and obviously the big headline is we finally came to agreement with Comcast Buyout of their interest in TV One and we’ll discuss that in more detail after Peter’s comments.
Peter Thompson: Thank you, Alfred. So, net revenue was approximately $109.7 million for the quarter ended December 31, 2014, a decrease of 1.7% year-to-year. The decrease is primarily a result of lower advertising sales from radio division and lower direct advertising revenue for the internet division. We recognized approximately $39.9 million of net revenue from the cable television segment in the fourth quarter, an increase of 5.1% over fourth quarter 2013. TV One affiliate revenue was up 5.4% from prior year, while advertising revenue was up 8.5% from prior year, Net revenue for the Internet division decreased by 23.2% year-to-year. Our Charlotte, Indianapolis, Detroit, Cincinnati, Dallas, and St. Louis and Philadelphia clusters showed revenue growth in the fourth quarter. However, these gains offset by declines in our four biggest clusters Huston, DC Atlanta and Baltimore. For the fourth quarter, local radio revenue was down 10.5% and national was up 8.1%. Critical revenue was approximately $2.6 million that’s approximately $600,000 prior year’s quarter. Cable subscribers, as measured by Nielsen, finished the quarter with $56.6 million compared to $57.1 million at the end of December last year. TV One currently has 50.3 million billable subscribers. Operating expenses, excluding depreciation, amortization, impairments and stock-based compensation decreased to approximately $79.9 million in Q4 from approximately $84.9 million in 2013, are the main areas of savings or marketing expenses at TV One sales, commissions and compensation in the radio division. For the fourth quarter consolidated station operating income was approximately $42.5 million, up 8.6% from last year. Adjusted consolidated EBITDA was $32.4 million, an increase of approximately 18.8% year-to-year. Interest expense was approximately $19.3 million for the fourth quarter down from approximately $22.4 million for same period last year decrease that in interest expenses primarily due to the low interest rate associated with the nine in the nine and a quarter percent senior subordinated notes due 2020. The company made cash interest payments of approximately $10.4 million in the quarter. Net loss was approximately $13.5 million or $0.28 per share compared to net loss of approximately $16.4 million for the same period in 2013. For the fourth quarter, capital expenditures were approximately $1.3 million compared to $2 million in the fourth quarter of 2013. Q4 cash taxes paid was approximately $15,000. Company received dividends from TV One in the amount of $7.8 million in the fourth quarter and there were no share repurchases during the quarter. Company’s cash and cash equivalents by segment are as follows: radio and internet approximately $45 million, Reach Media approximately $4.1 million, cable television approximately $18.7 million. In addition to cash and cash equivalents, cable television segment also has short-term investments of approximately $2.1 million and long-term investment of approximately $817,000. As of December 31, 2014 Radio One had total debt net of cash balances of approximately $752.5 million. For bank covenant purposes, our total net debt was approximately $669.5 million and our LTM bank EBITDA was approximately $95.4 million resulting in total leverage ratio of approximately 7.02 times and a senior leverage ratio of approximately 3.51 times. When thinking about the first quarter revenue pace since for 2015, there are some timing differences that I want to point out. Both the Reach Media, Tom joined us fantastic voyage and Radio One rallies Women's Empowerment events have moved from first quarter of 2014 into the second quarter in 2015. The revenues and expenses associated with each events in 2014 were approximately $6.6 million and $5.8 million the fantastic voyage and $1.5 million of revenue and $638,000 of expense for the Women's Empowerment event. And with that I shall hand back to Alfred.
Alfred Liggins: Great, thank you Peter. As Peter mentioned our radio business continues to sequentially improve, Houston is turned around with the launch of our boom classic hip-hop format. Houston is currently pacing flat for Q1 but pacing up double-digits for the year. Washington DC is our next big focus to fix into the current drag on the radio business, we have recently changed leadership there this week, and we put in one of our regional Vice Presidents as the new market manager and so we are hyper focused on that market now as we speak as the next big fixed and heavy lift. I must point out that we expect significant EBITDA growth still in our core radio business this year. And dramatic EBITDA growth at our Reach Media syndication unit fueled by substantial cost savings there and top-line revenue growth. Our combined radio business is looking up and heading in the right direction. Interactive One continues to make strong progress with double-digit positive direct revenue paces in Q1. We also expect significant EBITDA growth there in 2015 in iONE. We have recently purchased hip-hop mobile Russell Simmons website GlobalGrind to anchor millennial vertical strategy and iONE is a long time project as you know but a necessary project because advertisers are moving more and more into the digital arena and our strategy we believe is a right one, because iONE are selling display, video and custom solutions not audios. So it’s not really trading at dollars this is all new money for the company. And the more conversations we have we realize that digital is here to stay and will be part of the advertising ecosystem in a very significant way. TV One finished 2014 right on budget with $53.2 million of EBITDA up from $49.3 million. And I remember we budgeted some significant programming on investments, we have historically had stronger EBITDA increases but yes we have 2014 was planned to be less but we hit our number as we said we would. And this is in the face of significant headwinds for a lot of other cable networks in terms of declining ratings but TV One fared even though our ratings declined somewhat 2014 declined significantly less than most of our competitors and closing the gap between us and them. In 2015, we are off to a great start with the prime ratings currently up 26% in households and also in demo. We expect a very strong year of EBITDA growth in 2015 for TV One. We are having excellent affiliate renewal conversations with the Comcast deal done and signed the affiliate deal done and signed. And by the way the affiliate deal is not connected to the buyout deal in terms of -- for some reason to buyout does not get completed that affiliate deal still stands. So that’s done and signed. We are also very positive in detailed negotiations with our other distributors, and our other distributors include Verizon, AT&T, Cox, Charter obviously with the merger going on we are assuming that Comcast and buying Time Warner that takes care of that and as AT&T buying DirecTv that takes of that. We expect to sign multiyear net positive to the network renewals with all of these distributors as well in the coming months. This network continues to be the only distributor not carrying TV One. The Comcast Buyout, finally agreed to at what we think is a reasonable valuation. We have a $550 million, we after the end of Q2 to disclose this transaction. There is no penalty for failure for some reason, the transaction doesn’t close. We believe there are significant cost efficiencies us owning the 100% of TV One and combing it fully into the infrastructure of Radio One. The acquisition of the Comcast take further diversifies Radio One into a multimedia company, we expect in the coming years, our cash flow will reach 50% radio and 50% digital in cable which is a goal of ours and we think that we’re fulfilling on the promises we’ve made to investors and also to our advertising partners and this one solution platform continues to play out as an attractive option for advertisers and they’re continually browning America. Multicultural advertising continues to rate strong and move forward and I think that we’re right at the epicenter of it and we’ve got some more exciting announcements and initiatives in the coming months as it relates to really firming up and filling out this platform so that it continues to be highly attractive to advertisers. So with that operator I’d like to turn it over to Q&A.
Operator: [Operator Instructions] Our first question is from Aaron Watts of Deutsche Bank. Your line is open.
Aaron Watts : Congrats on the Comcast deal.
Alfred Liggins: Thank you.
Aaron Watts : Lot to cover here, so let me ask couple of questions I’ll start with the radio business though, Alfred can you maybe give us a sense for what happened between like a few weeks ago when we’re going to the credit facility amendment and today in terms of pacing for the first quarter, what specifically was driving kind of the slow down when in January.
Alfred Liggins: Look, I’m not sure and by the when we give you guys pacing and look that was unnerving to me obviously right, because we just entered the -- but when we give you patients we just read write off the pacing sheet. So there is no interpretation but having checked with other companies and channels I think that we’ve seen a slowdown in January I talked to a number of companies and they saw it as well. So I don’t know what’s driving it, ultimately if you ask me to pontificate on what I think is driving. Radio is a traditional medium so I do believe that there is add share shift which is why I’ve said that I thought radio; although still a good business with low CapEx, high margins, low cost of goods sold. We are sharing add dollars with digital mediums whether it’s Yelp or Google or what have you. So I think that you’re going to continue to see a moderation of that growth. It doesn’t make it a bad business I like to say that it’s not the newspaper business by any stretch of the imagination newspaper business they print on paper, they deliver in vans and trucks or they mail the newspaper. We deliver audio very simple, in fact if you really dug into it our audio delivery is free and it actually cost people to stream. I think at some point in time those facts have to play into it, but our audio delivery is not any less or any more inferior than Pandora and quite frankly we are offering up different selections of commercial that those kinds of strategies are fully within the radio industry’s capabilities. However, I don’t think commercial fee is going to in anybody’s ultimate business model certainly the digital guys are starting to run many more commercials. So going back to answer your question I can’t pin point specifically I think the economy is generally healthy which is good for us and I still feel confident in our ability to grow our radio cash flow in 2015 based on things that we’re doing with our cost structure and in addition in our Q2 right now is pacing up strongly. But I'm hesitant to go out on a limb and beat the drum on what the revenue numbers going to be because it can change week-to-week, but what want to beat the Drum One is our ability to grow the cash flow of the radio business, and that’s core radio. And as I said before in my comments Reach is going to be up dramatically because they are, their revenue is pacing up quite nicely and they have got substantial cost savings. So at the end of the day, my job, our job is to deliver you cash flow growth. And so we are going to moderate what we can do on our top-line with what we need to do on our bottom-line and make sure that we deliver that cash flow growth in radio business.
Aaron Watts : That’s helpful context. Just one other question around operating environment. Is it fair to say what you are seeing? Is that the big markets continue to be a little weaker for you than your smaller markets? Or specific categories that are ailing across the platform? Or is there..
Alfred Liggins: I am never been a believer in categories, radios never had a concentration of categories that were big enough to drive it in one direction or the other. It’s not like automotive to the TV sector. Peter will maybe give you more color on big markets versus small markets.
Peter Thompson : I'm looking at the Miller Kaplan report for fourth quarter and it’s really mix. So if you look at our four big markets, DC as a market according Miller Kaplan was down 2.8. Houston as a market was down 3.6, Atlanta was down 3.4, Baltimore down 2.1. And overall across all of our markets, the market was down 1.5. So that would suggest that the bigger markets are under index and if you want call that, but it’s not and we have seen DC down much higher than that.
Alfred Liggins: And the big markets as probably where you are seeing more competition for digital dollars whether it’s Pandora is putting to sales forces where some of the local guys like Yelp and Groupon are focusing their sales force, but I just read something in Insight Radio, I think was Insight Radio was one of the trades maybe it wasn’t Insight Radio. But anyway so the Pandora was selling advertising in 37 markets and they had a 111 local sales people out there. When I looked at that, that actually made me smile because that’s not a lot of sales people to cover 37 markets. We have 20 sales people in Washington and at the end of the day I think that we have got a significant advantage with our local sales forces in these markets and we are going to continue to fight that good fight, we just got to make sure that they have got the right products to sale our local advertisers. And so it will be arbitration and I think the Radio guys have a significant advantage. I think we have got a significant advantage. We are all leveraged more than we should be for the most part but we are all making money and I don’t think that there is going to be anything on the horizon that’s going to change the royalty backdrop for digital radio guys. So I don’t see those companies becoming cash flow positive significant cash flow positive anytime soon, and the question is how longer the investors going to speed those loses if you don’t see light at the end of the tunnel.
Aaron Watts: Let me just ask you two questions on the TV side of the business. You talked about the valuation that you achieved in this purchase, how should we think about that? If we want to think forward looking, what does that valuation look like, if we give you some credit for maybe this new distribution deal with Comcast as well as any savings you might benefit from owning a 100% of it. Does it become a little bit more, I am thinking about leverage going forward?
Peter Thompson: So two things, one without giving you guidance I think I said we expect significant EBITDA growth at TV One and yes, you are right the new distribution deal is playing in to that. I would say that you should think that it is a single-digital multiple to us on forward and quite frankly that’s just on the existing business as is without us really going in and figuring what any cost efficiencies are from the combined operations. Believe it or not, we haven’t actually done that exercise yet. We figured out whether or not we could finance this thing just as the platforms are currently operating and at the price that we are paying Comcast is going to take a small note that will end up sitting [pairy] with our sub notes and everything fits inside the baskets and the leverage governors within our existing indentures. So we spend a lot of time, when we made this deal we figured out how we were going to finance it before we made the deal. In fact, part of the negotiation was you can say you want X but I can only pay you Y and this is Y. And so when it comes down to what that forward multiple is going to be to us it's going to be single digit.
Aaron Watts: And just above on what you’re seeing there so it sounds like the financing you have a node to Comcast and that you said will fit even with your bank debt or will that even with your security now.
Alfred Liggins: I’d say unsecured is [pairy] with our sub notes.
Aaron Watts: Got it. And the rest of the financing you think you can then do at the secured level, is that right?
Alfred Liggins: Up top yes, there are probably something that, there probably need some additional dollars that they have to go with the sub note level but not a lot most, the vast majority that go up with the total global refi our first lien debt.
Peter Thompson: And just the clarification, we’ve got a purchase agreement we’re going to file the M&A couple of days within 8-K and you’ll see numbers in that Aaron that will help to reduce from the 550 to the net price and then what the load amount of is, so you’ll get a good amount of, you’ll get these amount of detail on the numbers because we’re going file our purchase.
Aaron Watts: Can you give us the amount of Comcast note now or you need to wait.
Peter Thompson: It’s $12 million.
Aaron Watts: Okay, all right. Got it. And last question from me is that if you think about your leverage going forward this maybe moves the needle some but what’s realistic target for you maybe a year out or two years out that you like to get to and thing you can’t get to. Thank you.
Alfred Liggins: In order to do this, we have to do it all around our seven times leverage test and I’d like to be below seven times by the end of the year and then what’s our target that whole reason that we wanted to buy the other half of TV One is because of the long-term locked in nature of the affiliate revenue stream which I think gives us the ability to delever the company significantly overtime and not have -- had to have it delever in the first 18 months because we’ve got these long-term deals we can assure ourselves that we’ll have time to delever the company and look, where would we ultimately like to be I mean I just had my 50th birthday I’d like to have no debt. So I think that we have to be very careful about the changing landscape of the entire media business, I’m not even just talking about the radio business now because some people call into question the efficacy of the cable bundle and where is that going and over the top and there is so many changing dynamics of the way content is distributed but what I know is that TV One is getting a new setup runway that is going to be a significantly long period of runway and will be insulated from those changing dynamics for a significant period of time and my goal is during that period of time where I know we’re insulated we’re going to use our cash flows to delever and then figure out how and where is the best place to monetize content and what the media business looks like in the future and that’s what we’re going to do. So we’re going to focus on delevering and you guys already know about our diversification we’re going to make the MGM casino investment which we think it is going to be a home run but we’ll focus on deleveraging any potential acquisitions that we might make will also be delevering acquisitions and I’m just talking philosophically there is nothing on horizon right at the second but if we were able to buy our competitor in Dallas in the radio business we know that would be significantly delivering because we created a bunch of cash flow by combining our operations there. But the way we’d look at that acquisition in the price that we would be willing to pay is does it delever us quickly and that’s the strategy, it’s a sleep at night strategy. I think our platform is plenty big. We’ve got a great story. We were multimedia, quite frankly we’re spending a lot of energy right now building ideation in agency capabilities in-house so we can develop more compelling ideas for our clients because we’ve got enough impressions to sell and they can buy impressions anywhere where they really want to us are more ideal and we’ve got a big enough platform where we can conversations with CMOs and CEOs. We reach 82% of Latin America. And so because we’re big enough, we got a good story. We’re now going to run 100% of TV One, job number one is to delever the platform.
Operator: Our next question comes from David Farber of Credit Suisse. Please go ahead.
David Farber: Number of my questions has been discussed obviously but I just wanted to touch base on a couple of things real quick. First is, you guys obviously sound encouraged with 2015 and you talk a little bit about sort of the cost savings opportunity in the top line and how to sort of manage that. So I’m just curious to the extent you would maybe just talk about maybe quantitatively what you think is available for the company on the cost savings side and justmaybe bucketed maybe what they are one thing or other and then a couple of follow-ups.
Alfred Liggins: I can’t do that yet, we are just on the front end of that but we spend most of time working on just getting this deal done and being able to finance given our existing operations kind of cost savings stuff that we are going to do. I bucketed in that, okay, we are going to be finance this thing and let’s say after we financed around billion dollars of debt, so now the cost savings are what’s going to go into the, hey we need to get our leverage down below seven times as fast as possible, so we are saving exercise for after this conference call and get focus on that. We will have that data and that plan by the time we come to market to finance this but we don’t have those details just yet. But we know that there are significant cost savings there.
David Farber: Okay, I will look forward to that. And then just finally any numbers you could share with us away from the high single multiple on what sort of impact you have on the affiliate deal or the renewals or anything like that or ways for us to think about sort of LTM and what you think it looks like on a go forward.
Peter Thompson: Nothing we can give you on this conference call. A couple of things, our affiliate deals were bound by confidentiality agreements of what we can and cannot say in a public form. However, what I can tell you is that you will be able the reversed engineer and extrapolate from any financing documents that we will have to hit the street. We’re obviously going to have to disclose a certain level of financial information in order to get deal done. And you guys are smart, you better figure it out and we will disclose as much as we can but said it we said that we got multiyear, we have got net positive progress in our rates. We are talking to every distributor about net positive rates on a continuous basis more stuffs and multi year. That’s the conversation we are having with every single distributor.
Operator: Our next question is from Lance Vitanza of CRT Capital. Your line is open.
Unidentified Analyst : Hi guys it’s actually Brad in for Lance and congrats again on the Comcast deal. Just had a couple of quick follow-ups on that transaction. The first being, I knew you just mentioned briefly a global refinancing as part of the capital raise for the transaction that would include refinancing the 10% TV One notes?
Alfred Liggins: Yes.
Unidentified Analyst : And the other question is just more broadly now that you are going to own a 100% of TV One does that change at all how you think about programming in terms of investment in original content and you know how you operate the TV station going forward?
Alfred Liggins: No, it will change how we operate TV station going forward because we don’t have to have double infrastructures if you will, but that’s more, that’s more backup step, actually I don’t want to say just backup step but we cross promote TV One but if we cross TV One from the perspective that we own 51%, -- there are things that we would do for TV One that we could really fully do, open up the entire war chest now to help it. And also when we go out and we are selling advertising there is certain arms like things you have to resolve under one roof. You can make more creative deals because it’s all the same money and inside the house you can do more on cost sharing when you are creating programming that might end up going across multi-platforms. In general, it’s just going to be so much better not to have to worry about the package you got a 47.5% partner and is this arm sling et cetera. The other thing most of you guys don’t know, we are in the same building I am sitting here on the 14th floor of 1010 Wayne Avenue in Silver Spring and TV One is on 09 and 10. So and our radio stations are across the street. So it’s really set up to work quite synergistically. And it’s been working for Univision. And quite frankly I think one of the things, we are an independent network not with the gigantic programming budget vis-a-vis our competitors like the Viacom Network’s BET, VHI or Discovery’s Oprah network but we hold our own from a rating standpoint and punch above our weight and I think one of the reasons is we have got this cross promotion platform. Fact of the matter is we are going to be able to promote our shows that people know about TV One on a continuing on a daily basis and hourly basis and that keeps us top of the mind with the consumer and viewer and I think if you pour all of our energy and resources into growing a brand and not dissipate your efforts that brand is going to flourish and that’s what I thinks going to happen.
Operator: Our next question is from David Siebert of Wells Fargo Securities.
David Siebert: I just wanted to confirm a couple of things I’ve heard it sounds like TV One is going to be part of the restricted group so the credit group would essentially have full reliance on this asset in the cash flow stream there, just want to confirm that.
Alfred Liggins: Obviously that is a strong consideration and we’re not committing to anything. The game plan is to go to market like that. We’re going to come to market with this financing with the package of collateral it is going to give us the absolute best pricing execution. We’ve been led to believe that if we bring TV One as guarantor and restricted subsidiary that will happen right but we haven’t gotten into the details of whether or not waxing and fold like that but we believe that it will, that’s our game plan. Obviously we can finance it in a number of ways, it would be very disappointing if we go to market and we bring TV One as guarantor and the restricted -- people say that well, you raise the same. We believe this substantially improves the credit of the company in the collateral package and we talked to a number of our largest vendors who also say that they believe that our rate should be better. So we’re hoping to get a better rate and if we didn’t get better rate we’re absolutely moving in that direction because that helps the delevering profile.
David Siebert: Understood. And you mentioned taking this gone around the seven times in the current test I believe, but are there any covenants that we should be aware of that would limit this ability or would you potentially need to get a consent from bond orders, anything to be aware there.
Alfred Liggins: We don’t think we need any concerns. So we got really two hurdles we’ve got a 4.5 times lien test so essentially we can do up to the 4.5 times firstly senior secured and that will be pro forma or the new affiliation agreement and any cost synergies and then seven times overall leverage. Aside from that we can just have $20 million debts in currents baskets. So they can go on top of the seven times in currency you can have your seven times plus up to $40 million of other basket that you can fill and those other baskets would sit [pairy] nine in the quarter. So roughly $12 million Comcast note will fit through one of those 20 million baskets. Aside from that I don’t think there are any other guide rail that a guide rails that will be operating within.
David Siebert: Okay, got it, that’s great. And then on the 8-K filing pre-amendment you mentioned in your deal with Comcast that there was a past two increase subscriber levels, can you just remind us what percentage of Comcast sales have TV One and what are the triggers for that half to higher sub levels.
Alfred Liggins: Currently we have about 13.4 million Comcast subs they’ve got 22 and we’re not at liberty to tell you what the triggers are for the higher subs. We’re more than happy with our deal. And by the way there are some scenarios under which we may want to take less subs than more subs because everything placed into a net effective rate which you got to get out of people. So quite frankly we negotiated to have flexibility. Having more subs isn’t the always the best thing. Having more subs at the right rate that you don’t necessarily, that doesn’t trigger any other in that main issue. So it’s fairly complicated but we’ve got a path and we’re very happy where we sit.
David Siebert: Okay. You mentioned lot of the renewals that you have coming up. So is the Comcast rate I know you’re probably not at liberty to say what it is but, is it comparable to other you have currently and do you believe this just sort of new market rate for renewal.
Alfred Liggins: No, everybody in the industry now is on the same TV One rate card subject to people get volume discounts based on the size that they have numbers they give us but everybody is on the rate card and then bigger guys get bigger discount, smaller guys not so much, but there is bandwidth there that is fairly tight.
David Siebert: Okay, helpful. Thank you. And just couple on the radio side, encouraging pacings out at Huston, it seems like a format is really taking hold across the country. Do you expect any competitive response?
Alfred Liggins: We launched this format and then everybody else followed us and started launching some places, we took competitors whether we took competitor in Indianapolis, we had a competitor already in St. Louis but they switch to this format. What I said about this format, this format takes off like a rocket and then the ratings come down to earth. That’s what happens with every last one of our stations. The question is are you better off than what you had before? Right. And so far for us that has true in the vast majority of cases, so we’re happy with it. But I do not believe that it’s a format that will maintain the level of initial audience and excitement that it gets. But for us it works because in most places we are operating multiple stations, so in most places we have a hip-hop station, so the idea that you have one mainstream contemporary hip-hop station and the classic hip-hop station is a great compliment and a bookend. So that’s very different and so you might just launch the classic hip-hop as a standalone without other urban stations to support it. So it’s a nice compliment in a clustered strategy for us. So I would see us to continuing to really nurture this format. But look a lot of people in the radio business are just like struggling for new ideas that they all jump on the bandwagon as a new idea. And we launched this new idea because we already had a hip-hop station and we needed to pin it off a competitor in Houston but I would like to see the guys in the radio business maybe try to figure out as opposed to just going to the next new format try to figure out and do a more competitive where are at in already competitive format battles. So the stations are pilfers stations are generally losing another competitor, what I found is that provided your signals are equal, it’s possible to battle to a draw even with the incumbent insurance player that’s been there a long time, if you put the resources and brain power and the timing to it. But people like to go for the next new shiny thing but again we are an urban radio operator. So classic hip-hop is a new format for us that will be in our arsenal of many different urban formats and I think that we have got the ability to utilize it in the most efficient way, and I think for some of these folks that are just jumping on it, it will go up it will come down and then I’ll stuck with the classic hip-hop station and what are they do with it. That’s my thought.
David Siebert: And then last one for me and then I’ll jump off. Reach Media 8-K you detailed 8 million of contractual cost savings, just wondering if you could give any color on that. And then you mentioned you could see some reduction in revenue and just maybe a comment on the network radio environment right now.
Alfred Liggins: Reduction in revenue, I mean 8 million of cost savings is contractual that’s basically compensation salary and stuff like that. Most of it related to the new joiner agreement. I don’t know what we said about revenue reduction because it reaches forecasting to increase their top-line in 2015.
Operator: (Operator Instructions). Our next question is from Nick Brown with Zazove Associates. Your line is open.
Nick Brown: Hi, just quick questions on bank refinancing. Do you have a timeframe when your plan to come to market are you ready, have you already started that process?
Alfred Liggins: Nick we haven’t really started we want to get our 10-K out which we are planning on doing next week so we get some fresh number on the street and then will start to figure it out. I think the two things that are on our mind in terms of timing are we have got a couple of call premiums, we have got a call premium 2.5% on the TV One notes that rolls off I think March 16 so that’s one day we got in mind. And then we going to 101 call premium on the existing Radio One personally and that rolls out April 01. So it’s somewhere in the late, we would like to be closing in that kind of late March timeframe ideally subject to market conditions.
Nick Brown: Just a one other question also related to that, when you talk about seven times total leverage so that will include whatever debt you used to refinance the TV One notes is that correct?
Alfred Liggins: Yes, so the thinking there is to refinance that out essentially with the bigger Radio One first lien. So all being well the structure that we are thinking about is $119 million goes away at TV One and then this refinance the first lien level regular.
Operator: There are no further questions in queue at this time.
Alfred Liggins: Thank you operator and thank you investor community you guys have been supportive with the company, really appreciated. I know this TV One deal is been a long time coming and we are not home yet obviously we have to finance it but I think that we are executing on what we told you that we would do and we appreciate your continued support. And as always we are available offline. Thank you, operator.
Operator: Ladies and gentlemen that does conclude our conference for today. We would like to thank you for participating and using AT&T teleconference. You may now disconnect.